Operator: Good afternoon. My name is Rob and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Manhattan Associates’ Third Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period [Operator Instruction]. As a reminder, ladies and gentlemen, this call is being recorded today, October, 23. I would now like to introduce Eddie Capel, CEO; and Dennis Story, CFO of Manhattan Associates. Mr. Story, you may begin your conference.
Dennis Story: Thank you, Rob, and good afternoon, everyone. Welcome to The Manhattan Associates 2018 third quarter earnings call. I will review our cautionary language and then turn the call over to Eddie Capel, our CEO. During this call, including the question-and-answer session, we may make forward-looking statements regarding future events or future financial performance of Manhattan Associates. You are cautioned that these forward-looking statements involve risks and uncertainties, are not guarantees of future performance, and that actual results may differ materially from the projections contained in our forward-looking statements. I refer you to the reports Manhattan Associates files with the SEC for important factors that could cause actual results to differ materially from those in our projections, particularly our annual report on Form 10-K for fiscal 2017 and the risk factor discussion in that report. We are under no obligation to update these statements. In addition, our comments include certain non-GAAP financial measures in an effort to provide additional information to investors. All non-GAAP measures have been reconciled to the related GAAP measures in accordance with SEC rules. You will find reconciliation schedules in the Form 8-K we submitted to the SEC earlier today, and on our Web site at manh.com. Finally, with the adoption of ASC 606 revenue accounting rules and our new P&L line item format, we have included in the supplemental schedules of our earnings release, year-over-year comparisons for apples-to-apples comps. Our year-over-year revenue percentage growth comments and our results are based on apples-to-apples comparison, normalizing 2017 revenue for hardware revenue impact. Now, I will turn the call over to Eddie.
Eddie Capel: Good afternoon, everyone. And thank you for joining us to review the Manhattan Associates 2018 third quarter results. We delivered Q3 total revenue of $142 million and $0.49 of adjusted EPS. This is in line with our objectives and represents flat revenue growth and the decline of 4% in EPS versus prior year. Now we exceeded our Q3 targets across all revenue lines with the exception of license revenue but based upon our outlook for the remainder of the year we're narrowing a full-year total revenue range and raising our 2018 full-year operating margin and earnings per share guidance. Notably despite the declines in revenue expected from an ongoing Clyde transition our flat revenue performance abated six consecutive quarters of year-over-year declining growth comps as our services business demand is steadily improving. That said we're still very early in the transition to Clyde with aggressive transformational goals and investment earmark for driving at customers success and in turn a long-term future growth and earnings. Our positive business momentum continues to be based on a consistent strategy driven by the following four pillars. First, market leading product innovation. Year-to-date our R&D investment is up over 25% over prior year and we're on pace to invest about $70 million in R&D this year. We're delivering industry-leading transformative supply chain inventory and Omni-channel innovation. Our development cycles are fast faster than ever and our product and technology releases are bringing important differentiated new solutions to the market resulting in some encouraging pipeline growth. Secondly, strengthening pipelines. Our global pipelines are solid and we're seeing upward trends across cloud, license and services. We're especially encouraged by our new customer signings and by the concentration of potential net new customers in the pipeline with more than half of our current deal opportunities representing net new logos to Manhattan associates. Three, improving consulting services. Global demand is strengthening for new product sales and system upgrade activities and our services teams are operating at capacity. Global consulting services grew 2% sequentially over Q2, 2018 and with flat year-over-year. Importantly, America's services revenue grew 1% year-over-year halting a run of six consecutive quarters of year-over-year growth comp declines. With services overall driving about 60% of total revenue America's strengthened in demand will help us balance the fluctuations in licensing cloud in the early stages of our business transition and since our last call we've on-boarded about a hundred consultants and we're actively recruiting for another 75 to 100 services consultants across all geographies and as I mentioned in that Q2 call we are on track to post incremental second-half growth over 2017 and exiting 2018 with solid momentum. And lastly, number four investments in sales and marketing. Our competitive win rates continue to be strong about 70% against head-to-head competition. With about 30% of license and cloud sales coming from new customers. Verticals drive in more than 50% of our license and cloud revenues in the quarter were retail, consumer goods, and food and beverage with retail being our strongest vertical. Sales and marketing investment is up 10% year-to-date as we continue to focus on driving market awareness and expansion of our sales and marketing coverage predominantly in the Americas and Europe. And we finished the quarter with 65 people in sales and sales management with 58 quota-carrying sales reps and we're actively recruiting for about 20 new hires across our sales and marketing teams. Our recognizable cloud revenue continues to track ahead of our original 2018 goals of $20 million and we remain very busy with new cloud implementations from Manhattan Active Omni and TMS is growing too. For the quarter we recognized $6.5 million in cloud revenue. 155% increase versus both Q3, 2017 and year-to-date 2017. Manhattan Active Omni Group drove about 85% of the booking this quarter with America's delivering 90% or so of that deal activity. Our win rate for cloud deals year-to-date is 70% against head-to-head competition and overall a deal activity for the quarter was healthy. Although our close ratio was below our expectations as a few large complex deal negotiations are taking a little longer than forecasted to close. That said we're encouraged by both a robust level of customer interest and the number of active negotiations in which we're engaged. Since the beginning of 2018 we've more than doubled our cloud pipeline and seeing very positive early adopter interest and long-term deal activity. In fact while we anticipated a three year subscription duration entering the year. 70% of that 2018 bookings year-to-date have come from Manhattan Active Omni deals as five years in duration. Well this demonstrates client confidence it's also very positive in the context of predictable revenue cycles. These five year deals can sometimes have a lower one year annual contract value run rate versus the years of two through five and this is a factor unique to the five-year deals and well it presents pressures in the near term cloud revenue line in the longer term review this as a win-win both to Manhattan associates and for our customers. License revenue for the quarter totaled $11.5 million which included two $1 million plus transactions both deals closed in the Americas, one in retail and one in transportation and while deal activity is healthy licensed performance does continue to be impacted somewhat by timing primarily related to customers and prospects way more flexible purchase options for WMS and other supply chain management solutions. Both our cloud and license pipelines are growing and active. That said five quarters post Manhattan Active Omni launch we're currently seeing similarly to license cloud deals are heavily waited to the end of quarter signings. Further customers are taking their time to judiciously evaluate the business impact of shipping from the ownership to a services model and these dynamics are impacting deal timing and the interplay between our cloud and license revenue results. Now moving to products and customer fronts, we continue to make great progress in helping our customers achieve operational excellence and best-in-class performance. I'll start with warehouse management. The customer response to our 2018 version of WMS that we shipping Q2 has been very positive as reflected in our services pipeline. A number of our customers including several multibillion-dollar consumer brand companies have accelerated their upgrade plans in order to take immediate advantage of the new waveless order streaming and warehouse execution system features within WMS 2018. Waveless streaming optimize is the balance between direct-to-consumer and wholesale bulk fulfillment within a single distribution center enabling that customers to more profitably and fluidly manage both the highly efficient bulk wholesale batch fulfillment and rush individual shipments to fulfill direct consumer orders. And with the included warehouse execution system our customers can now optimize the combination of legacy automation, next-generation robotics and human resources within the DC to deliver maximum facility velocity and lower total operating cost and this introduction was well-timed to meet the market need as we see the distribution sector continuing to accelerate its implementation of new forms of automation to meet increasing direct consumer volumes and rising customer expectations around speed of delivery. Both customers and industry analysts continue to recognize our leadership by Manhattan associates and we earned the highest position possible in the most recent Gartner Magic Quadrant for warehouse management systems for the tenth consecutive time. Further on the supply chain front I'm pleased to report that our pipeline activity within TMS business is growing reflecting increased investments in sales and marketing over the past two quarters and we believe there are good opportunities that continue growth and market share gains in this area. Speaking of pipeline, we have also seen very positive interest in Manhattan Active point-of-sale solution in recent months. As a reminder this application is part of the Manhattan Active Omni platform and this could be easily added to a customer's operations as part of that suite at the individual products are all part of one single application platform. Manhattan is uniquely positioned in the industry with this offering to provide a unified platform approach for Omni-channel and we're confident that we are very well positioned for strong consideration when the coming store system replacement cycle kicks into gear and to that end we've received very favorable reviews for our solution within a recently published Forrester wave for point of service applications especially in light of being a relatively new entrant into this space. Forrester compares this quite favorably to providers who have been with us being in the market for decades. Speaking of Forrester analysts wave reports we're also very pleased to be one of the only two companies named as leaders for Omni-channel order management in their most recent Forrester wave report for that particular product. We received top scores in over 23 areas including a store inventory and fulfillment applications and for our part road map and strategy. Well, Forrester the leader rating is a new for us at competitive position also move forward which we believe recognizes the strength of the Manhattan active native cloud offering. And with that I'll turn the call over to Dennis who will do a deep dive into our financials. Dennis?
Dennis Story: Okay. Thanks Eddie. So as mentioned we reported Q3 total revenue of $142 million and $0.49 of adjusted earnings per share which includes about $0.03 from [rupee] FX gains in the quarter. Overall, with our business and early-stage cloud transition we're tracking slightly ahead of our 2018 targeted total revenue and earnings objectives. Our GAAP earnings per share was $0.43 in the quarter compared to $0.47 in Q3, 2017. License revenue was $11.5 million against the $13 million target objective for the quarter. Given the interplay between license and cloud on supply chain management deals extended deal timing and customer purchasing preferences we are now targeting $11.5 million to $13.5 million for Q4 with a full year license revenue estimate at $43.5 million to $45.5 million and a corresponding license gross margin of about 87% to 88%. Cloud revenue was $6.5 million, up 155% over Q3, 2017. Year-to-date we've recognized $16.3 million in cloud revenue, up 154% year-over-year. For Q4 we estimate our recognizable cloud revenue will be about $6.7 million. This assumes all Q4 deals closed or back-end loaded to the quarter. On a sequential basis our growth forecast is adjusted based on our five-year deal signings achieved in Q2 and Q3 combined with lower Q3 deal volume on [fresh] deals. We are maintaining our full-year estimate of $23 million with year-over-year growth at 140% as compared to our $20 million goal entering 2018. As a reminder this line includes all subscription, hosting and infrastructure-as-a-service revenue from our existing and new software as a service and hosted customers. Regarding license and cloud our performance continues to depend on the number and relative value of large deals we closed in any quarter, while large license deals remain important we expect the mix to continue to shift toward subscription models. While this is positive, deal sizes may be a bit smaller as subscription revenue is recognized over time and product components are also easier to add over time in contrast to the one-and-done enterprise deals. We also retain some caution around slow decision making by some clients particularly retailers and potential global macro and geopolitical events that could impact business investment cycles. Shifting to maintenance revenue for the quarter totaled $37 million increasing 2% on new license revenue with strong retention rates greater than 90%. As a reminder our maintenance renewal contracts become effective once we've collected cash from the customer. So timing of cash collections can cause inter-period lumpiness from quarter to quarter. For 2018 we are estimating maintenance revenue to be about $147.3 million dialing it in totaling 3% growth over 2017. We estimate Q4 maintenance growth to be down approximately 1% to 2% with a midpoint of thirty $36.8 million. Q4 and full-year results will depend somewhat on the timing of perpetual license deals closed as well as the level and timing of any existing customer conversions to cloud, customer retention, and timing of cash collections. Services revenue for the quarter totaled $84.1 million exceeding our Q3 target, up 2% sequentially from Q2, 2018 on growth in the Americas and Europe. With services demand and pipeline increasing we're now estimating full-year consulting services revenue of about $325 million representing a decline of about a 0.5% over prior year versus our previous estimate of a 2% to 0% decline. For Q4 given the seasonal drop-off due to retail holiday busy season we are estimating services revenue to be about $79.5 million to $80 million. Sequentially, we expect services revenue to decline about 5% over Q3, 2018 and to increase about 3% to 4% over prior year. Consolidated subscription, maintenance, and services margins for the quarter were 54.3% driven by cloud and maintenance revenue growth and strong consulting services productivity. For 2018, we expect full-year services margins to be about 53.8% and our Q4 range to be 51.2% to 51.5% as retailers idle software implementations during the retail holiday busy season. Turning to operating income and margins our Q3 operating income totaled $41.5 million with an operating margin of 29.2%. We estimate our Q4 operating margin to be in the range of 22.4% to 23.4% reflecting retail busy season impact on services revenue and global hiring and investment in our business. That covers the operating results. Our adjusted effective income tax rate was 24.5% for Q3 and we are maintaining our 2018 provisional effective income tax rate of 24.5% which includes the estimated impact of state, local, and international tax expense. Regarding capital structure we reduced our common shares outstanding about 1% in Q3 buying back 389,000 shares totaling about $21 million. So year-to-date we've reduced common shares outstanding 4% and last week our board approved replenishing our repurchase authority limit to a total of $50 million. We are estimating about 66.1 million diluted shares for Q4 and 66.6 million for full year. Turning to cash, we closed the quarter with cash and investments totaling $94 million and zero debt. Our deferred revenue balance totaled $83 million, up 11% over December 2017, driven by maintenance and cloud billings and down 8% sequentially on maintenance revenue recognition from Q2. So year-to-date cash flow from operations totaled $103 million compared to $117 million in 2017, down due to positive cloud revenue results and lower license revenue. For the quarter cash flow from operations totaled $35 million. Capital expenditures totaled $1.5 million in the quarter and for 2018 we estimate capital expenditures to be in the range of $7 million to $9 million. I'll wrap up with our 2018 guidance and a preliminary look at 2019 and then turn it back to Eddie for closing comments. As Eddie mentioned we are narrowing our total revenue guidance range and increasing our adjusted EPS and adjusted operating margin guidance. To reiterate we remain cautious regarding the retail environment, the global macro environment given geopolitical and economic volatility and finally our cloud transition. So for revenue with one quarter remaining in 2018 we are adjusting our total revenue guidance from the previous range of $548 million to $560 million to $552 million to $555 million with a midpoint estimate of $553.5 million. We expect total revenue guidance to be down about 1% to 2% over 2017. Recurring revenue mix which includes cloud and maintenance is targeted at 31% of total 2018 revenue. Earnings per share we are rating our 2018 adjusted [EPS] range $0.07 to $0.10 to $1.69 to $1.71 with a midpoint estimate of about a $1.70. Our GAAP EPS guidance will increase $0.12 to $0.14 to $1.48 to $1.50 range. This anticipates our estimated Q4, 2018 adjusted EPS to be about $0.36 to $0.38. Operating margins with the business transition to cloud continuing to ramp in 2018 including growth investments. We are targeting a full-year adjusted operating margin range of 26.3% to 26.5% and a GAAP operating margin range of 22.6% to 22.9%. We estimate Q4 operating margin will come in between 22.4% and [23.4%]. So with regards to our long term aspirations our focus remains on building our subscription base at a responsible rate that returns to our expected and sustainable top-line growth with an operating margin profile on the top quartile compared to our peers. We are currently in our annual planning phase and will look to provide an update on any meaningful changes in our Q4 call. Shifting focus to 2019 we are providing broad parameters for 2019 at this point with two primary elements impacting our 2019 P&L profile. Our total revenue mix across our revenue lines given our business transition the first and second our 2019 operating margin profile based on our growth investment objectives and innovation sales and marketing IT investments and facilities. For revenue, assuming the midpoint of our – for total revenue assuming the midpoint of our 2018 total revenue guidance of $553.5 our estimated range for 2019 total revenue is $559 million to $571 million representing growth of 1% to 3%. Regarding license revenue based on 2018 results we expect license to continue to be under pressure with our ongoing cloud transition. We're currently targeting approximately $39 million to $40 million in license revenue. For cloud revenue recognized we are estimating about $40 million. For earnings per share assuming the midpoint of our 2018 EPS guidance of $1.70 our estimated range for 2019 is $1.06 to $1.40 (Later corrected by the company to $1.36 to $1.40) for adjusted earnings per share. Moving to adjusted operating margins again with the ongoing transition to cloud we are targeting an operating margin of 20.8% to 21.1%. As we have discussed we expect our operating margin to trough in 2019 early 2020 in the 20% to 22% range and finally our effective tax rate remains the same at 24.5% subject to U.S. federal state and foreign tax legislation changes and for diluted shares we're projecting 65.6 million shares per quarter which assumes no buyback activity in Q4 2018 or for the full year 2019. So, thank you for your time and that covers the financial update. I'll turn the call back to Eddie for some closing comments.
Eddie Capel: Thanks Dennis. Well in summary clearly our underlying business fundamentals continue to gain momentum and we remain focused on extending our market leading position supply chain in Omni-channel commerce. We're excited by the significant and expanded business opportunities in that core markets. Our success continues to be driven by delivering innovation that anticipates the needs of evolving markets focusing on our customer success and leveraging a deep domain expertise. Our services business is experiencing healthy demand and we anticipate this trend will continue. There is demand for both upgrade support and cloud implementations. As well as the ongoing management systems for clients in the Clyde they're all feeling very positive trends and while some global and macroeconomic conditions give us reason to be cautious supply chain complexity and retail evolution and target markets in fact brings continued need for our solutions among customers and we will continue fueling multi-year investment cycles in Manhattan Associates. The move to subscription and client based models is positive and is outpacing our expectations. Customer feedback, industry analyst assessments and our win rates continue to validate our investment strategy. Our competitive position is strong and we continue to invest in innovation to extend our adjustable market, market leadership and differentiation. And as always we remain focused on our customer success on driving sustainable long term growth for our shareholders and with the world's most talented supply chain commerce employees the best software solutions and market dynamics that require customers to adapt and invest in supply chain innovation we believe that we're very well-positioned to end the year strongly. So with that Rob we'd be happy to take any questions.
Operator: [Operator Instructions] And your first question comes from the line of Terry Tillman from SunTrust. Your line is open.
Terry Tillman: Hey good afternoon gentlemen. Can you hear me okay?
Eddie Capel: We can Terry.
Terry Tillman: Okay. All right. Thanks for all the color and also for the initial view on ‘19 that was good to see. I guess my first question for either of you two guys is on professional services it does seem like it's turning the corner and the Americas important milestone returning to growth, could you update us both on what you've seen recently and as it relates to your outlook commentary that also speaks to this continuing in terms of the improvement? How much of it is upgrade so people wanting this newer version of the WMS that has the new innovation or just upgrading other platform technologies versus actually these active Omni deals that might actually include a large component of services? Just trying to understand maybe what's driving the service strength. Thanks.
Eddie Capel: Yes, well the answer is a bit of yes, a bit of everything Terry frankly there's no, I don't think there's one single dynamic that is changing there. You frankly have laid out a good bit of what's driving the strength there. We do think that the innovation that we're delivering to the marketplace has really inspired a lot of our existing customers do want to be able to adopt this new innovation to help them drive business value for themselves. So there are WMS, some nice, very nice substantial WMS upgrades that we are working on. Some of the Manhattan active Omni implementations that are underway or substantial transformative and they're global, frankly. And then the other element of that is that the services business across the world: so, Americas services is certainly strong. But that business in Europe and the business in Asia is also very strong as well. So, again in conclusion it's the answer is "Yes;" an element of all of those things.
Terry Tillman: Okay. And maybe another question is it's interesting to see the initial take-on ‘19 SaaS or subscription revenue. Based on Euro's color earlier in the call I thought maybe there could be more pressure on that than maybe what I'd originally had my model but it's pretty close actually. So, what I'm curious about is you mentioned some deals that maybe there was some timing issues and some deals pushed but the initial outlook though for next year looks pretty solid in relationship to where my model was. So, what I'm curious is do you think that some of those deals are pushed it is just literally a matter of timing and you expect them to close those and or just the totality of the pipeline could more than offset any kind of pressure around the deals actually closed.
Eddie Capel: Again it's both of those Terry. So yes, we did have a couple of deals push and they were larger deals and the negotiations were a little more complex than maybe either party anticipated. So, we do anticipate in closing those deals. And as indicated our Clyde pipeline since the beginning or coming into the year 2018; was doubled. And so, we are certainly very encouraged by the future outlook there.
Terry Tillman: Okay.
Dennis Story: As well as the net new logos that are greater than 50% of the pipeline make out, Terry.
Terry Tillman: Yes. And then, I forgot which one of you gentlemen, this' been my last question is I think you said 20 or so open racks now that actually quarter carrying sales reps. I guess, some just like for the nomenclature, here is the sales reps or is it sales and an SE's or is it also marketer. Just trying to understand how much of that would be revenue producing sales force. And thank you.
Eddie Capel: Yes good, Terry. So, the 20 that I referred to was sales and marketing. And if you, I don’t have the exact break down but about a third of those people would be full on quarter carrying racks. So, thanks again for the questions and we'll --.
Dennis Story: But all focused on topline growth and demand [indiscernible] as well.
Terry Tillman: Okay. Thank you.
Operator: And your next question comes from the line of Brian Peterson of Raymond James. Your line is open.
Brian Peterson: Hi gentlemen and thanks for taking my question. So, Eddie I just wanted to clarify comment you made on some of the cloud deals. It sounded like you said that the year kind of 235 revenue would be higher than the initial year revenue. I just want to make sure what's driving that. I thought in 606, it would be more ratable recognition. Is there upsell or is there something driving that or did I just potentially hear that wrong?
Eddie Capel: No, you didn’t hear wrong. We expect to exceed our going in expectations to 2018 from a cloud revenue perspective. Certainly the revenue is recognized ratably for sure. 606 really doesn’t affect the Clyde revenue particularly. But just really at the end of the day strong demand and great execution, Brian is the -- the driver is there?
Brian Peterson: Maybe just kind of following-up and I appreciate all that color on ‘19 but you have some sales hiring plans. I'm just curious should we expect most of those to be done by the end of '19. Just trying to think about how much of that investment may bleed into 2020. Thanks, guys.
Eddie Capel: So, the sales executive and the sales rep hiring is active today Brian. So, whether we can accomplish it or not is an another matter but we would like to try to close those racks side by the end of this year and likely will see additional hiring in 2019.
Brian Peterson: Thank you.
Eddie Capel: Sure.
Operator: And your next question comes from the line of Matt Pfau from William Blair. Your line is open.
Matt Pfau: Hey, guys. Thanks for taking my questions. Why don’t you follow-up a bit on the question about the hiring and expenses. So, it is part of the upside in the quarter, came from lower operating expenses, at least relative to what the consensus expectations were but then as we look at the guidance sort of for 2019 implies a fairly substantial ramp up in operating expenses throughout the year. So, maybe just help us where is that hiring targeted towards and is that all related to the cloud business or is there other hiring that's going on?
Dennis Story: Yes. Three major pillars and I'll let Eddie chip in as well but continuing the higher R&D resources and drive innovation, global services around the globe where we probably have a 150 racks that were going to be pursuing. We'll tighten that up when we get through Q4 and see how our hiring goes through Q4. And then, sales and marketing kind of then try to focus which Eddie's already discussed there as well.
Eddie Capel: Yes. Nothing much to add really a matter other than sort of embedded in areas. Is the cloud organization that Dev ops organization that continues to grow both commensurately with the deals that -- the deals from the customers that they were managing to acquire but also general build out of that to make sure that we've got the appropriate scale 24/7 coverage and so forth to support the growth.
Dennis Story: And the real challenge Matt is just timing. Getting the timing and getting the resources in the door.
Matt Pfau: Sure, okay. And then wanted to ask about the pipeline commentary that you guys made I think a comment was about half of the pipeline is made up of new logos. And so, maybe you just give us an idea of what that compares to maybe a year ago. And then it is that driven by the active Omni-solutions and I know last quarter you mentioned that you perhaps have been able to address smaller retailers or smaller customers that you have originally anticipated. So, is that a factor in that net new customer number in the pipeline as well?
Eddie Capel: So, let's say I think -- in the things that are driving the pipeline really when it comes down to the innovation that we're building Matt, we think we really got some differentiated WMS capability that we put out in the market starting couple of quarters ago and certainly see a big uptick there, obviously Manhattan Active Omni we know is providing great value for our customers. You're right, in some of the net new logos might be some smaller customers that we get slightly smaller customers we can access to because of Clyde capabilities and Clyde deployment models that we are delivering but the 50% net new logo has been pretty steady a frankly over the last 12 months or so. And again really I think it's our ability to garner market share from competitors based upon the innovation that we continue to invest and deliver to the market.
Matt Pfau: Got it. And then, I just wanted to follow-up Terry on your comments about the point-of-sale solutions. So, I guess one of the comments in there was an anticipated upgrade over replacement cycle with some of the existing deployed point-of-sales system, so maybe you can, discuss what would potentially drive that replacement cycle and then I guess what Manhattan has to do to go in there and replace some of these existing solutions.
Eddie Capel: Yes sure. The upgrade cycle is largely been driven by the fact that think we all know, the fabric and the context of the retail store is changing. Moving from was for decades and decades a single function facility, retails growth was single function facilities cash and carry and nearly a multi-function facilities, everything from a boutique to a gallery sort of customer service center, a bill-board for the digital business. Many distribution center, there are multi-functioned often smaller footprint but much more technologically enabled locations and the system sort of been at the center of the retail stores for the last century or so really don’t enable either the through associates or provide the service for the customer that is required in today’s world, so that’s what we think driving to be upgrade cycles, it’s important for us and hence we see the uptick in sales and marketing spend. It's important for us to drive awareness of these new differentiated solutions with that we've developed. We've got obviously a fantastic customer base in the retail industry but historically we've been known for the more traditional supply chain space, so very important that we make the market aware of these new differentiated solutions so that as this upgrade cycle kicks in, we're part of the conversation narrative.
Matt Pfau: Great. That's it from me guys. Thanks a lot for taking my questions.
Eddie Capel: Very good, pleasure, man. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Mark Schappel from Benchmark. Your line is open.
Mark Schappel: Hi guys, thanks for taking my question. Eddie, first question for you. In your prepared remarks you noted that cloud and or your cloud deals were heavily waited to the end of the quarter signings. I was just wondering if you could just go into a little bit more detail on some of the customer purchasing behaviors that you're seeing that you continue to see.
Eddie Capel: Yes. To be honest, Mark, when we put ourselves in our original expectations, the original model together and so forth, we took a sort of a straight down the middle position and towards that unlike perpetual license deals that tend to be very heavily waited till end a quarter close, we thought that Clyde deals would close little more evenly across the quarter. Turns out that and of course in early days here but it turns out Clyde deals seem to be in terms of the close timing and so forth into modal the perpetual software license deal that we've seen historically. So towards the end of the quarter. And that's just a reasonably minor adjustment. It has some impact but reasonably minor adjustment so I thinking, forecasting and the mould go forward.
Mark Schappel: Okay, great, thank you. And then, as your cloud services business builds as new customers continue to make up a greater percentage of your pipeline. I was just wondering if you just comment a little bit on the makeup of your sales force and how that's evolving just to meet these changes?
Eddie Capel: Yes. Look we can our sales force is fuelled by domain rich confidence. We've thrived on that for years. We'll continue to invest in individuals that have deep domain expertise. I think the only thing that has really changed for us tends to be a little stronger technology component of the sales process. But obviously with the fantastic technology expertise that we have inside the organization we’ve, we’ve got terrific coverage here. So, not a lot of change but a little more technology weighted.
Mark Schappel: Great, thank you. That's all for me.
Eddie Capel: Thank you, Mark.
Operator: And there are no further questions at this time. I will turn back over to our presenters. Okay, terrific work thank you Rob and thank you everybody for joining us to get an update on the Q3 results where we are clearly encouraged by a momentum, the business fundamentals and early transition to the Clyde, so we will look forward in early 2019 to reporting eye on full year results and our continued progress to towards our long term aspirations and in the meantime, everybody have a wonderful holiday season, thank you. Bye, bye.
Operator: This concludes today’s conference call. You may now disconnect.